Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Penn National Gaming 2015 First Quarter Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards we will conduct a question-and-answer session. (Operator Instructions) I would now like to turn the conference over to Joe Jaffoni with Investor Relations. Please go ahead.
Joseph Jaffoni: Thanks, Amanda and good morning everyone and thank you for joining Penn National Gaming's 2015 first quarter conference call. We'll get to management's presentation and comments momentarily, as well as your questions and answers, but first I'll review the Safe Harbor disclosure. In addition to historical facts or statements of current conditions, today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which involve risks and uncertainties. These statements could be identified by the use of forward-looking terminology such as expects, believes, estimates, projects, intends, plans, seeks, may, will, should, or anticipates or the negative or other variations of these or similar words, or by discussion of future events, strategies or risks and uncertainties, including future plans, strategies, performance, developments, acquisitions, capital expenditures and operating results. Such forward-looking statements reflect the Company's current expectations and beliefs, but are not guarantees of future performance. As such, actual results may vary materially from expectations. The risks and uncertainties associated with the forward-looking statements are described in today's news announcement and in the Company's filings with the Securities and Exchange Commission, including the company's reports on Form 10-K and 10-Q. Penn National Gaming assumes no obligation to publicly update or revise any forward-looking statements. Today's call and webcast will include non-GAAP financial measures within the meaning of SEC Regulation G, and when required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today's press release, as well as on the Company's website. I'll now turn the call over to the Company's CEO, Tim Wilmott. Tim?
Tim Wilmott: Thank you, Joe and good morning. And welcome everyone to our first quarter 2015 earnings call for Penn National. I have the entire team with me here in Wyomissing, Pennsylvania. After my introductory comments you'll hear from Jay Snowden, our Chief Operating Officer, talk a little bit about our first quarter results, what we’re seeing in our operations, what we’re seeing in terms of consumer trends and then I'll turn it over to Saul Reibstein, our CFO, who’ll about our second quarter and full year guidance and also give you some financial metrics as we closed out the quarter. As you’ve seen from our release this morning, generally our results were in line, in most cases a very modest speed on almost all metrics with the exception of revenues and pretty much what we expected, although it certainly was stronger in the first half of the quarter than it was in the second half of the quarter, and Jay will get into that a little bit. The only other notable item that we had occur in the first quarter is the announcement that we are pending the approval of the Massachusetts Gaming Commission expecting to open up the Plainridge Park Casino on June 24th. And everything there looks very good in terms of our readiness. We are actually installing slot machines as we speak and we're going to have a terrific facility there and a great location in that part of southern Massachusetts opening up in about two months. So that's really all I have from the commentary standpoint. I’d like to turn it over to Jay to give you more color of what we saw on operations in the first quarter. 
Jay Snowden: Thanks, Tim. It really was a relatively uneven four quarter, not too many surprises. We experienced strong property level margin performance that was partially offset by higher corporate and Massachusetts preopening expense that will also affect us in the second quarter and Saul will walk you through that in his guidance comments. Really, as Tim mentioned it was a tale of halves. In the first quarter, we had solid first half of the quarter driven largely by milder weather and lower gas prices year-over-year. Weather comps proved to be more difficult the second half of the quarter as we experienced freezing temperatures across Mid-West and record snowfall in the North East and passing several of our properties. Weather aside, we're really continuing to see momentum at our four Ohio businesses, the two new tracks and Dayton and Mahoning Valley as well as our existing Casinos in Columbus and Toledo. We continue to hit or exceed our internal projections for those four properties and we’re continuing to average over 5,000 new card signups per month per property in Ohio which I think demonstrates our ability to cultivate new business and continue to build our database. Speaking more about broadly about the database trends in the first quarter, they largely mirrored what we experienced in the fourth quarter on a year-over-year basis. Spend per visit continues to be a good story for us and showing growth, visitation improvement across all tiers and work segments. I think both of those factors are largely been driven by affirming labor market and consumer confidence continuing to move in the right direction and as Tim mentioned though we experienced a sequential deceleration through the first quarter from January to March. Happy to report that April results with weather behind us now have been very encouraging really throughout the Company in all of our three regions. More broadly as we look into the second quarter, we’re laser focused as Tim mentioned on our Plainridge Park Casino opening on June 24. The promotional environment throughout our portfolio of properties in different jurisdictions remains stable and weather factors are largely behind us. So I believe that quarter two will largely be the more accurate barometers to the true health of the consumers. So in summary, we’re encouraged by the property level results in Q1. Q2 is off to good start but we're still hesitant to call for the four consumer recovery. That day has remained relatively elusive for us, but we'll see how we feel when we get back together with you in July looking back at the second quarter. So with that I will hand it off to Saul to walk you through second quarter guidance and full year. Thanks Jay. Second quarter and full year 2015 guidance considers the macroeconomic factors effecting the U.S. market today, including lukewarm growth in consumer spending at the retail level, a slowdown of U.S hiring in March and continued uncertainty about the future oil prices. All signs indicate the general economy has slowed in the first quarter and little momentum heading into the second quarter. These factors and ongoing volatility compound the estimation of 2015 guidance. After our usual property by property review, we have less guidance for the full year unchanged other than to attempt for the favorable results of the first quarter. For the quarter ending in June 30, 2015 we have established guidance for net revenue at $672.7 million, adjusted EBITDAR at a $185.8 million and adjusted EBITDA of $77 million. Similar to Q1, we anticipate we anticipate the forecasted revenue and margin increases will again be offset by preopening expenses and cash settled stock rewards. Page 6 of our press release provides current estimates for corporate overhead rent, interest, noncash stock compensation and depreciation and amortization. In addition some of our other key data points are cash on hand at March, 31, 2015 of $238 million. All of our debt covering ratios have been comfortably met. Project CapEx, inclusive of our Jamul Indian village project for 2015 is estimated at $372 million with $99.2 million in Q2. Maintenance CapEx for 2015 as estimated still at $75 million with $22.5 million in the second quarter. Preopening cost for the second quarter include higher than expected regulatory cost and more extensive marketing cost in Massachusetts. Our GAAP basis effective tax rate for the balance of 2015 is currently estimated at 44%, and finally free cash flow before project CapEx and Principle repayments of $139 million for the year. And with that overview, we can open for questions.
Operator: Thank you (Operator Instruction) Our first question comes from the line of Felicia Hendrix with Barclays. Please go ahead.
Felicia Hendrix: Just Tim or Jay, regarding the color that you provided in your prepared remarks on the consumer on what you’re seeing in April, I was just wondering if you could give us a little more granularity in sense what you're seeing at the lower end of the spectrum versus the higher ends of customer spectrum that is? Is the improvement that you're seeing broad-based or is it specific to certain demographics? And then also to take that one step further, is it across all the states you're in or are some markets and regions doing better than others?
Tim Wilmott: To answer your questions, it really is broad-based, both with regards to the worse segments and the database. We're seeing growth in visitation and spend per visit across all segments right now, which is very encouraging, particularly at the low end and it is broad-based across the portfolio. So all three regions we're seeing nice performance in April and it's been steady. It's been – it hasn't been a big weekend here, a big weekend there. It's really been day by day we're seeing nice growth in the business on a year-over-year basis and versus our expectations.
Felicia Hendrix: That's great to hear, finally. It’s been a long time. And then while I have you, there is a number of gaming expansion bills in various stages of legislation. You have New Hampshire, Connecticut, Indiana, Illinois. Can you give us a quick refresh on the likelihood of any of those passing and the potential impact to any of your operation?
Tim Wilmott: Felicia, this is Tim. I’m going to turn that question over to Eric Schippers, our Head of Public Affairs. And Eric, why don’t you start with the gaming expansion bill that’s been discussed in Indianapolis right now that will likely get on the Governor Pence's desk and we know he's been against gaming expansion and it's something we're watching very closely.
Eric Schippers: Yes, thanks, Tim. We can start in Indiana. There was a hearing yesterday Felicia on what would really precede a conference committee on the game -- what we're calling a gaming expansion bill and what I think many people other than the tracks realize is a gaming expansion bill. That would allow for live table games at the racetracks. It would allow for land-based gaming and may permanent our $5 million in [indiscernible] credits. So the big debate is really a question of when those live tables would be permitted. The senate version would permit them in 2021, house version would have been come in July. So we are waiting to see if the two sides can reconcile their differences on that. What Pence, the Governor will ultimately do as Tim said, since it is a gaming expansion bill, since he has historically been opposed to gaming expansion and since that introduction of live tables would hurt our operation in Lawrenceburg, we're hoping he’s will be consistent and saying no to those provisions. So that's Indiana. We then look at Illinois, which is a perennial debate over what we call the kitchen sink expansion bill. There will be some noise there. The real key factor there is the new Mayor of Chicago -- or the reelected Mayor of Chicago has made it very clear that it's a priority to have a downtown Chicago casino. So that may change some of the dynamics of the debate. BGTs and Illinois certainly is a complicating factor as they continue to proliferate. So we're going to continue to watch that. I think if you were looking at the history of Illinois, they are about 0 for 21 on gaming expansion. So we'll see if that changes this year. The other ones, New Hampshire and Maine and Georgia now is starting looking at it. They're all debating in the content of, is there too much saturation already, have we missed the boat given Massachusetts in the case of New Hampshire and Maine has already approved. I think it's unlikely that New Hampshire will move. I think Maine is also unlikely, given the saturation and the Governor's position on whether Maine can support another casino. In Georgia, it's really early but I think the odds are against us and the conservative nature of that stage, but again we'll continue to watch that closely.
Tim Wilmott: But what about Florida in Tallahassee.
Eric Schippers: Yes, so Florida, we've been watching that closely as well because one of the items that they have been considering in conjunction with a gaming expansion proposal is the end of dog racing. We have a track there in Sanford Orlando. The latest is that the complications we're trying to finalize the compact with the tribes means that the other tracks they're hoping to get slots machines, probably are not going to be successful this year and that the time is more likely to just run out on a gaming bill in Florida. That's the latest we’re hearing.
Operator: Our next question comes from the line of Joel Simkins with Credit Suisse. Please go ahead.
Joel Simkins: I just had a quick question hereon on Plainridge. Can you just contrast a little bit your marketing strategy for this asset going into opening versus perhaps what you might have done in Ohio? Just want to make sure that the awareness is going to build pretty quickly and you get GGR off the ground in a fast fashion?
Jay Snowden: Sure Joel, this is Jay. Really that is a large part of the reason why you're seeing our Massachusetts preopening expenses, both in Q1 and our estimate for Q2 higher than that what we had anticipated for full year guidance when we put that out at the beginning of the year, is that really we've got two great markets, deep markets, and markets that have experienced gamers, in Boston and the greater providence MFA and so we’d initially gone in thinking we really wanted to focus on Boston. Boston is an expensive market. To advertising that’s fine, but we’re also going to be very aggressive in Providence, because the amount of time it takes you in your car to get some Providence to Twin River, there is really not as much interstate access as there is directly to our facility. It’s pretty equidistance in time in car. So we want to make sure that we’re getting awareness out there in both markets and we’re going to be very aggressive throughout the month May and June pre-opening, and we have an ongoing aggressive strategy as part of our ongoing operation throughout the remainder of 2015. So we’re going to be very aggressive and I think that obviously is more expensive market but we’re going to do when it takes to drive awareness and penetrate those markets. 
Joel Simkins: Sure. That’s very helpful. And just a quick follow up here on Vegas, I guess one, how do you guys continue to think about the strip potentially and then also how do you think about expanding your asset at the end, which could potentially use some more hotel rooms.
Tim Wilmott: Joel, really nothing has changed there. We continue to look at opportunities on the strip. It is a strategic imperative for our Company to find an opportunity to monetize our database as Jay mentioned, a growing database that we believe needs to find a home on the strip with the right product at the right location at the right price. And I think in my mind as I think about that opportunity versus potentially more hotel rooms at the M [ph]. I think we have to in the future come to some conclusion of what we want to do there from a capital perspective, either or at this time. So I think that’s where our heads are right now and we continue to look and we’re looking at other things as well. We’ve realized we’ve got two solid programs in our pipeline in Massachusetts and in California and we’re really focused on where growth is going to come beyond 2016 right now as a team. 
Operator: Our next question comes from the line of Steve Wieczynski with Stifel. Please go ahead.
Steve Wieczynski : Jay, you gave a lot of good color on in terms of what you’re seeing out there in the market, but can I ask it a little bit different way. If you looked at your ma Marquee Rewards program, have you seen sign ups or new sign ups start to accelerate there at all?
Tim Wilmott: Well it depends on the market Steve and our newer market, so Kansas Speedway the four new businesses and Ohio yes, I referenced that earlier. We’re still seeing over 5,000 new card sign ups per property in Ohio. So it’s over 20,000 new members to our database per month, which I think is a great story. In some of the more competitive markets, not necessarily seeing significant growth although we are seeing improved trends from what we’ve seen over the last several years, which is encouraging, just not to same magnitude that we’re seeing in some of the newer markets. So, yes, broadly to your question, but more pronounced in our newer markets.
Steve Wieczynski : Okay, got it. And then second question, with Columbus, maybe Tim, can you give us some color on that market at this point. I know if you look at [indiscernible], they are doing pretty well. The numbers have been pretty solid. It seems like El Dorado is investing a lot of money or reinvesting back in that property as well. So is there any concern on your part or just maybe little bit color on that market would be helpful.
Tim Wilmott: I’ll turn it over Jay if I miss anything but Steve, we just added a new bar, new Asian offering in Columbus that’s done very well in the five or six weeks it’s been open. We’re seeing nice increases in Asian table drop since we’ve opened the new offering. We’re going to continue to remain competitive there, and we still see the Columbus market as maturing and growing and it’s a very important business for us and the fact that there’s two operators in Columbus I think will both do very, very well in that market as it continues to mature. It’s now getting to the 2.5 year mark in Columbus. So it’s still showing signs of good growth in our database. The quality of play continues to improve and I think will both coexist very favorably there in the market that’s very healthy.
Operator: Our next question comes from the line of Steven Kent with Goldman Sachs. Please go ahead 
Steven Kent : A couple of questions. Saul, it sounded to be like you are a little bit down beat than the rest of the team giving some commentary on fuel concerns or employment, and is that just you being the CFO and getting more conservative or is there something else more there. And then, just little broadly on the expense side, you’ve done an amazing job over the past two years. Can you just give us some examples of what you specifically are doing and how much further you can push that over the next 12 to 18 months to keep the margins better than expected.
Saul Reibstein: Steve, a good team has different players around the table. So if my remarks indicated a more tempered view than the others, maybe that’s the role the CFO needs to play. Clearly I focused in the guidance remarks on macro conditions and I always like us to under promise and over deliver if we can. So you’re right, it might be a more conservative outlook than the others. I wouldn’t read much more into it. With respect to your question about our cost management, we met a week ago as a national leadership team for our Annual Meeting and I spent a day with our property CFOs and we actually conducted round the table discussion property by property and we asked the each of our property CFOs to come to the table with an idea or two of how they are continuing to look for cost reductions in the business, and I will tell you it was a lively discussion, it was a very, very -- lots of note taking around the table as each property CFO described a technique, an area of focus or a particular strategy that that property had implemented that could be applicable to other properties around the network. So I would tell you that as well as we've done in the past, we are not at the end of that road at all going forward.
Jay Snowden: Steve, and the only thing I would add is we're really continuing to see nice margin ramp in our new businesses in Ohio. That helps the overall margin for the Company. And I think that there is obviously still opportunity even in some of our more mature markets to improve as Saul mentioned and share enough practices and we turnover every rock, it's not just the big buckets of labor and marketing, but all the other areas, utilities and costs of goods et cetera. So we continue to challenge ourselves and continue to believe that we can hold on if not improve upon current margins.
Tim Wilmott: Yes, Steve, this is Tim. I think Jay hit it well that, traditionally in the past operators looked at the variable opportunities of marketing and labor. A couple of years ago, we kind of created a mindset that no expense is fixed and that we take a hard look at, as Jay said, utility cost and real estate taxes and things that are traditionally below the operating line, but certainly effecting our overall EBITDA margins and we've made great strides in our businesses, attacking these semi-fixed cost and I think the opportunities over the next two years are still there for further improvement.
Steven Kent : Maybe just a follow-up, are you incenting property managers both at the property level and at the corporate level? Is that all -- I think I remember you doing that but I just want to be clear that that's another part of the strategy?
Tim Wilmott: Well, everyone at the property level and our key operating folks here at corporate are heavily incented to maximize EBITDA, and obviously growing revenues and maximizing margins deliver those results. So everyone here is driven on trying to generate as much operating cash flow as we possibly can, including myself.
Operator: Our next question comes from the line of Shaun Kelley with Bank of America. Please go ahead.
Shaun Kelley: Maybe just a follow-up on the cost discussion. One thing that I think was going on a little bit on that was the possible rollout of I think larger embrace of email marketing and I was curious about kind of how some of your electronic marketing initiatives stood, I think that was possibly some of the new -- the newer Ohio properties? And then the strategy or idea of possibly rolling those out further across the portfolios. That's something you can give a little bit more color on?
Tim Wilmott: Sure Shaun, we're still at the very, very early stages. We did open our Mahoning Valley racino in the greater Youngstown market with the goal of being 100% digital. Now we're obviously not at a 100% but we have exceeded some of the internal assumptions on was really something that we need to grasp there. We're looking at probably close two-thirds to 70% of our business. We are now marketing through electronic means as opposed through the mailbox and we have plans to rollout those efforts across the organization over the course of the next nine to 12 months. And so we've got a couple of pilots that will be commencing in the summer and we also plan to open our newest facility in Southeast Massachusetts with the same strategy of digital communications to our customers as opposed to snail mail. So we're continuing to see progress. The early signs in the Mahoning Valley are positive and being completely honest, our industry is just so far behind other industries whether you're talking hotel industry, retail and the like. So this is not revolutionary stuff. It just happens to be for us and we're very happy with the early results and we're going to get there in short order.
Shaun Kelley: And just to be clear on it then, do you see any differences in either the ramp up or the player behavior as sort of a result of kind of going this route or are you able to pretty much generate the same type of response from customers at like ideally a lower cost I guess per kind of volume of whatever you're sending out?
Tim Wilmott: It’s a good question Shaun. We’ve been very encouraged by what we've seen in the behavior spend patterns, response rates with those who we’re communicating with digitally would compare to those that we’re communicating with through traditional meaning in the mailbox. So very encouraging with what we're seeing and obviously it's done at a small percentage of the cost.
Shaun Kelley: Perfect, and my last question if I could, would just be, could you just give us a little bit of an update on two properties, in particular because they’ve been some of your largest cannibalization properties last year which would be West Virginia and Lawrenceburg. Are you seeing at least descent signs of stabilization in both of those markets and kind of are they performing as expected or kind of ahead or behind the plan? That will be helpful?
Tim Wilmott: Sure. Ill highlight that. You see the top line revenue trend at both properties and if you are one of the curious ones, you can see weekly in the case of Charles Town in West Virginia. Many of our analysts and investors like to talk about the weekly results. I would tell you that Charles Town we’ve actually been pleasantly surprised by the minimal -- I would call it de minimis impact to our business from the opening of Horseshoe Baltimore, little bit impact to our table game business, really nothing on the slot side which has been encouraging. We continue to experience low single digit year-over-year decline in our slot business at Charles Town. So a pretty good story there relative to where it’s been the last two and half, three years since the opening of Maryland Live and really minimal, really de minimis impact to our Penn National property out of South-Central Pennsylvania, the York County area from Horseshoe Baltimore as well. So pretty happy with how our businesses have held up in the face of new competition in the greater Baltimore area. Lawrenceburg, we’ve I think done a really nice job managing the business. There’s no doubt we continue to see an impact on the top line. The good news is we anniversaried the opening of Belterra Park here in May. So there are months away then probably two, three months from really seeing some stabilization in the top line results of that business and the team there continues to manage margins extremely effectively. So I think if we do see some stabilized revenue – if we see a stabilized revenue environment the results out of Lawrenceburg should continue to improve.
Operator: Our next question comes from the line Joseph Greff with JPMorgan. Please go ahead.
Joseph Greff : Most of my questions have been asked and answered. Just one --I don’t know Jay if you touched on this and I missed it, but you did reference weather being an impact in 1Q and I could imagine that might be low to sort of attribute what that impact is because guys don’t like to make excuses, but can you help to frame what you think the weather impact was, whether it’s days impacted this quarter versus a year ago or some way to triangulate that impact.
Tim Wilmott: Joe, I’m looking forward to moving forward into 2Q. So we can stop talking about weather, as you know you are as well. Here is how it’s summarized. We saw -- this is same store, so not including the two new tracks. Same store snow impacted days in January year-over-year were down 20%. We had a great month. In February they were up 20%. These are rough but up 20%; and in March they were up slightly, mostly pronounced at the beginning of March. So as you look at it as a whole I think it was probably mostly a wash. Now I would tell you that I think is not really being discussed about Q1 is that typically you have in one of your 31 days months, January or March you have an extra weekend and this year was in January. January is traditionally one of our slowest months of the year. Granted we had a very good month on a year-over-year basis but trading a perfect calendar January versus March is going to heart your first quarter and last year we had the perfect calendar in March, this year we lost a Saturday. So overall I feel pretty good about the trend. There is no doubt we decelerated sequentially as I mentioned earlier from January to March but here we are in April. Weather is not an issue and feeling pretty encouraged by what we’re seeing.
Joseph Greff : Got it. And, then my final question Saul for you is, in your corporate expense guidance of just under $82 million how much in that number relates to cash settled stock based towards. I know it was 4.5 million or at least a swing of 4.5 million in the 1Q.
Tim Wilmott: $3 million Joe.
Joseph Greff : For the quarter?
Tim Wilmott: For the quarter, yes correct.
Operator: Our next question comes from the line of Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli : Jay, you mentioned earlier obviously being encouraged by Charles Town and the impact that Horseshoe Baltimore has had. Just given the geography and the driving distance from that property, do you have a changed view or is your expectation for when National Harbor opens a lot -- maybe less punitive than maybe it was originally given the experience with Baltimore.
Jay Snowden: That’s tough one Carlo. I am encouraged by -- to the levels Maryland Live was able to grow the overall market, obviously they had a significant impact on our business but it’s a deep market. You are talking about significant population basis in the greater DC, greater Baltimore, Northern Virginia, Western Maryland. These are the deep markets and they’re still largely under penetrated. So will National Harbor have an impact on our business? Of course it will. But as we’ve described it previously, the opening of National Harbor is largely going to coincide with our opening of Jamul and we think that the benefits we’ve received from Jamul will largely offset the impacts where Charles Town facility is the way we’re thinking about it.
Carlo Santarelli : Great, thanks. That’s helpful. And then Saul just one quick housekeeping, maintenance CapEx in quarter as well as project, and could you clarify whether or not there was any residual Ohio track spend in the period for any kind of licensing fees or anything?
Jay Snowden: Sure. Maintenance CapEx for the year was 75 for the quarter. The first quarter is $12 million, I think we said $22 million. I know I said $22.5 million for Q2. And in terms of Columbus Toledo, in Q1 -- I’m sorry Dayton and Youngstown in Q1 we had a total spend there of about $6.5 million. What you have to remember about Dayton and Youngstown in 2015 is the second portion of the license payment is due in at the anniversary of opening. That's 25 million for each track and that's included in the numbers.
Tim Wilmott: That will be in Q3.
Jay Snowden: Q3
Carlo Santarelli: Okay great, so then it sounds like if I look at Plainridge, Zia Park and your spend towards Jamul, maybe that number for the quarter is somewhat in the mid-50s for total project CapEx?
Jay Snowden: For Q2?
Carlo Santarelli: For Q1, sorry.
Jay Snowden: Q1 total CapEx, project CapEx spend was 36.9, it will 59.6 in Q2.
Carlo Santarelli: Okay and that 36.9 includes or excludes the Jamul contribution.
Jay Snowden: It excludes the Jamul. Jamul is another 14.7.
Operator: (Operator Instructions) Our next question comes from the line of Thomas Allen with Morgan Stanley. Please go ahead.
Thomas Allen: So in your press release, you highlighted that in addition to Massachusetts and California, you are pursuing other opportunities to enhance long-term shareholder value. And you touched on the call about you've been putting a lot of thought this year into what you're going to do after 2016. Can you just elaborate on that a little bit?
Tim Wilmott: Thomas, I mean, I did cover that a bit previously talking about Las Vegas. We realized we've got as I said two good projects in the pipeline, but we're looking at M&A opportunity that fit within our capital structure, that represent entree points into certain locations where we don’t have our presence today. We’re looking at certain things that -- where we can buy EBITDA and improve upon the performance of the business through our operating expertise. We don’t see anything out there in that time period right now that presents growth through new jurisdictional development, but again these things -- these evaluations are nonstop. We continually look at this. We’ve talked about being on the strip for as long as I've been here which is now coming on seven years and that's not going to change and we realize we have an opportunity and a responsibility for our shareholders to represent the prospects of growth where we thing we can enhance shareholder value and that's not going to change. And we do have a capital structure that we're mindful of. We have leverage ratios that we certainly keep a close eye on, but we balance that against the worst of the opportunity that we go chase and that's a constant effort that BJ Fair, our Chief Development Officer, and the rest of team here looks at continually as we look at various options to grow the business and whatever form is possible -- as you know we've brought on Chris Sheffield in the beginning part of 2015 to take a look at opportunities in the digital space and we're still early in our thoughts there, but we still see opportunity to expand our presence with customers in different forms of gaming, be it social, be it fantasy, be it commercial. And again that's a nontraditional look at things but it's something that continues to emerge on our radar screen and we have to take a hard look at.
Thomas Allen: Great, that actually was my second question. So I'll think of something else. So just in terms of -- if I was to look at your revenue and I was to strip out the Ohio properties and West Virginia, so Charlestown and also Lawrenceburg, given cannibalization in those markets, it looks like you’re -- the rest of the properties are about a 1% increase in revenue. And so as I think about kind of same-store trends, Jay gave some positive comments about what's going on with the database and visitation and spend per visit. Do you think that's the right way to think about those rest of the properties kind of how I think about your same-store trends ex-cannibalization for the rest of the year?
Jay Snowden: That’s a loaded question want at ends or buts. I think that’s fine. I think that's sufficient and it's -- we're very happy for -- I'll give an example -- on Mississippi business, as you're talking about businesses and markets that have been around for a long time Tunica, Biloxi, Gulf Coast, and our Mississippi businesses are showing nice trends right now both top line and certainly on the margins. So it's really -- it's market to market, it really depends. I don't there is a global response to your question Thomas, but I think that we continue have a mixed bag given that we operate in so many different jurisdictions and have had a portfolio of over 20 properties once we open Mass. And it really goes quarter-to-quarter and sometimes you can't even explain why a business that was showing growth didn't show the decline and vice versa. But broadly we're encouraged by the businesses, whether you're talking about the new businesses in Ohio or some of our longer standing businesses like Charlestown and our properties in Mississippi.
Operator: I’m showing we have no further questions registered at this time. Please continue with your presentation and closing remarks. 
Tim Wilmott: Thank you operator. Again I want to thank everyone for being on the call today to listen to our perspective on our results of the first quarter 2015. I think it demonstrates again the operating expertise within Penn National to take the ups and downs of various businesses and deliver very solid margins and solid results on operating profits and I think that is continual story of how we think about the business and think about how we’re going to continue to manage in environments that always remain uncertain in our business. We don’t have a Las Vegas model but as bookings out there that gives you a perspective of what the next three months or next six months looks like, we’re very much a retail oriented consumer that’s dependent upon visitation patterns that occur day in, day out, week and week out, month and month and we will act accordingly. So with that, I look forward to being back with you with the team in the later part of July as we talk about second quarter results and give you some early color on what we’re seeing with our opening on June 24th in Massachusetts. So thank you.